Operator: Thank you for holding, and welcome to Rockwell Automation's Quarterly Conference Call. I need to remind everyone that today's conference call is being recorded. Later in the call, we will open up the lines for questions. [Operator Instruction] At this time, I would like to turn the call over to Aijana Zellner, Head of Investor Relations and Market Strategy. Ms. Zellner, please go ahead.
Aijana Zellner: Thank you, Julianne. Good morning, and thank you for joining us for Rockwell Automation's fourth quarter fiscal 2024 earnings release conference call. With me today is Blake Moret, our Chairman and CEO; and Christian Rothe, our CFO. Our results were released earlier this morning, and the press release and charts have been posted to our website. Both the press release and charts include, and our call today will reference, non-GAAP measures. Both the press release and charts include reconciliations of these non-GAAP measures. A webcast of this call will be available on our website for replay for the next 30 days. For your convenience, a transcript of our prepared remarks will also be available on our website at the conclusion of today's call. Before we get started, I need to remind you that our comments will include statements related to the expected future results of our company and are therefore forward-looking statements. Our actual results may differ materially from our projections due to a wide range of risks and uncertainties that are described in our earnings release and detailed in all our SEC filings. And with that, I'll hand it over to Blake.
Blake Moret: Thanks, Aijana and good morning, everyone. Thank you for joining us today. I'll make a couple of comments before we turn to our fourth quarter results. With the U.S. Federal Election Day now behind us, we're optimistic that the country will turn its focus to a smooth transition to newly elected leaders. We're pleased that policymakers recognize the essential role that U.S. manufacturing plays at the core of our economy. Rockwell is the clear leader in providing technology that helps U.S. manufacturers be more competitive, so we welcome policies that will benefit our most important market by spurring innovation, streamlining project approvals and leveling the playing field. Orders continued to be soft in Q4, but we had solid execution on several fronts. Customer service levels and conversion of new orders to shipments are back to pre-pandemic levels across all businesses. We are growing profitable software and digital services lines of business which help to partially mitigate the impact of excess product inventory in our channel. Annual recurring revenue grew double digits in the year and is now 10% of our total revenue. For comparison, ARR was about 4% of our revenue in 2018. We're seeing modest market share gains over the past few years based on U.S. market share reports, product specific studies and comparison to the automation businesses of our closest competitors. Our best results in fiscal year 2024 were in North America, our home market and China is now less than 5% of our revenue. We are broadening our cost savings activities and Christian Rothe, our new CFO has jumped into the effort with enthusiasm. He brings valuable new perspectives on additional opportunities. At the end of fiscal year 2024, we were able to accelerate our savings to realize about $110 million of cost reductions in the second half of the year, $10 million above the target we first discussed in May. As of the end Of October of 2024 our global headcount is down over 12% since Q2 of fiscal 2024. In the last call we talked about multiple additional cost down opportunities, including activities to reduce the price paid for purchase components and services as well as actions to increase the efficiency of our manufacturing plants. Despite the headwind of lower volume, we are still confident in our ability to save $250 million in fiscal year 2025 from the combination of all our productivity actions. We continue to see positive impact from pricing actions. These have been difficult times, but I'm impressed by the resilience and sense of urgency of our teams as we position ourselves to deliver market beating growth and profitability. Later on this call, Christian will cover our pricing, productivity and margin expansion actions for next year. Let's now turn to our Q4 results on Slide 3. Our Q4 orders were down low single digits sequentially compared to our expectations for low single digit improvement. Similar to last quarter, the rate of reduction of lingering excess inventory at our distributors and machine builders was gated by slower end user demand. Of note, we did see sequential orders growth in North America with Asia contributing the largest sequential decline. Going forward, we expect our Q1 orders to be flat sequentially. We expect our Q1 sales to be down high single digits from last quarter, primarily due to typical seasonality in our configure-to-order and solutions businesses and slower orders in Q4 of fiscal 2024. I'll talk more about our fiscal 2025 outlook later on the call. Despite weaker than expected orders, our Q4 organic sales came in largely in line with expectations. As I mentioned earlier, we quickly converted incoming product orders to shipments and lifecycle services capped off a year of improved performance with good execution in the quarter. Q4 sales for the company declined 21% versus prior year compared to 18% growth in Q4 of last year. The decline is due to the difficult year-over-year comparison, lingering channel destocking effects in our product businesses and slower end user demand.
CUBIC: This quarter we secured a strategic win at NTT, a leading data center colo provider. Rockwell is helping this customer achieve significant footprint savings by leveraging CUBIC's modular, compact and switchgear agnostic custom design capabilities. In Software & Control, organic sales were down over 30% year-over-year. Within this segment, logic shipments were weaker due to slower end demand in product centric end markets. Despite the continuing volatility in product shipments, our PLC market share is slightly up helped by a geographic mix and continued innovation.
Logix SIS: Other launches extend the differentiation of our software offering. Last quarter we launched our Vision AI Solutions to help customers improve their quality and yield. In general, software was our best performing area this year with good revenue growth across Fix, Plex and other FactoryTalk offerings. The newest FactoryTalk Design Studio release features a copilot which boosts automation system design productivity and is integrated in this cloud native application which is an industry first. You'll see many of these products at our automation fare in a few weeks. Lifecycle Services organic sales grew about 2% versus prior year book-to-bill in this segment was 0.9 and slightly below our historical average for Q4. We saw a couple of customer delays projects in our Sensia business this quarter. We continue to have a healthy pipeline of projects which include both traditional and energy transition applications and reflect a general shift towards autonomous operations to improve safety and operational performance. Energy end markets overall were over 15% of our total business in fiscal 2024. On the services side, we continue to increase customer penetration through managed services with a growing number of contracts generating recurring revenue. Total ARR for the company grew 16% in the quarter with double digit growth across our software and services offerings. Segment margin was over 20% and adjusted EPS was $2.47. Turning to Slide 4, to review key highlights of our Q4 industry segment performance, similar to our overall top line results in the quarter, our performance by industry reflects difficult year-over-year comparisons, with Q4 of last year being a record quarter of shipments. Sales in our discrete industries were impacted by continued declines in auto and semi, partially offset by growth in e-Commerce & Warehouse Automation. In Automotive, we saw another quarter of EV project delays as brand owners and tier suppliers wait for more policy certainty and an overall improvement in consumer spending. Despite this pause in EV, there's still activity and we continue to win business across traditional ICE and hybrid programs. Rockwell was selected by Ford Motor Company as the automation partner for their Louisville, Kentucky facility. Rockwell will be supplying a full portfolio of Logix controllers, drives, HMI and industrial components for the body and final assembly shops. There is also additional content for their next generation truck programs. Moving to Semiconductor, while the industry is dealing with oversupply and uncertainty around future stimulus support, we secured an important win with a global leader in semiconductor manufacturing to automate their R&D facilities here in the U.S. We also continue to gain traction with our production logistics offering from material transport. e-Commerce & Warehouse Automation sales increased 25% versus prior year. In addition to continued investments in warehouse upgrades by both e-commerce and traditional retail players, we see the benefits of data center investment, particularly in our CUBIC business. Turning to our Hybrid Industry, sales in this segment were impacted by double digit year-over-year declines in Food & Beverage and Life Sciences. In Food & Beverage, we continue to see muted capacity investments as end users are delaying projects and focusing on driving operational improvements across their existing facilities. With that said, we are working with leading Food & Beverage producers on their next greenfield plans. In the quarter we had an important win with Kikkoman, the largest soy sauce manufacturer in the world. In partnership with the engineering firm CRB, we are delivering Rockwell's portfolio of Plex MES software and scalable plant wide control, helping Kikkoman build their factory of the future here in Jefferson, Wisconsin. Within our Life Sciences vertical, we're seeing the investment in GLP-1 drugs as key pharma companies and their contract manufacturers aggressively add manufacturing capacity to support soaring consumer demand. Sales growth in our Process industries was impacted by difficult comps with over 25% growth in Q4 of last year for this industry segment. Within Oil & Gas, similar to last quarter, we saw project push outs in North America due to election uncertainty and potential policy changes given the impact they may have on funding of greenhouse gas related projects. Sensia did grow double digits in the quarter and continued to deliver improved profitability. In Mining customers are investing in the sustainability and safety of their operations. This quarter Rockwell was chosen by Syrate [ph] New Denmark and South Africa to upgrade their environmental monitoring system from a competitive software offering to ensure effective monitoring of environmental conditions and respond to potential hazards. Let's turn to Slide 5 and our Q4 organic regional sales. In general, sales were down sharply year-over-year due to tough comparisons and the lingering impact of destocking. Orders were up sharply year-over-year due to the easy comparison with Q4 fiscal year 2023. Sequentially orders were down low single digits and shipments were flattish. The Americas, our home market, continued to be our best performing region. As I mentioned, orders were up sequentially in North America. While we are happy with our strong presence in the Americas, we continue to expand our share of wallet with European machine builders as they serve their end users around the world. In the quarter, we won an important project with Gaia in India. Gaia is one of the world's largest system suppliers for the food, beverage and pharmaceutical sectors. The Gaia portfolio includes machinery and plants, as well as advanced process technology, components and comprehensive services. The end user will implement state-of-the-art technologies to ensure efficient water usage and replenishment. Let's move to Slide 6 for key highlights of fiscal 2024. We finished the year with a 9% year-over-year decline in reported sales. Sales from our ClearPath and Verve acquisitions contributed about a point of growth as we expand our customer value in the production, logistics and cyber security spaces. Total ARR grew 16% with strong performance across our recurring software and services portfolio and is now over 10% of our total business. The 200 basis point decrease in our segment margin on a high single digit year-over-year sales decline would have been worse without our more diverse business mix, and the significant cost reduction actions we took earlier this year to align our cost structure with the current business environment. These actions also position us for expanded margins as markets recover. 60% free cash flow conversion was in line with our prior forecast. Let's now move to Slide 7 to review our fiscal 2025 outlook. Given the uncertainty in the macroeconomic environment and continued project delays across a number of our end markets, we're projecting sales growth in the range of positive 2% to negative 4%. After a sequential decline in Q1 shipments, primarily due to typical seasonality, we expect gradual sequential improvement in our top line growth through the balance of fiscal year 2025. Christian will cover the calendarization of our guidance in more detail later on this call. We expect our annual recurring revenue to grow about 10%. Segment margin is projected to be down slightly versus prior year and adjusted EPS is expected to be $9.20 at the midpoint. We expect free cash flow conversion to return to 100% in fiscal year 2025. I'll now turn it over to Christian to provide more detail on our Q4 and full year performance and financial outlook for fiscal 2025. Christian?
Christian Rothe: Thank you, Blake and good morning everyone. I'm excited to be here this morning and look forward to working with you all over the coming quarters and years. I'll start on slide 8, fourth quarter key financial information. Fourth quarter reported sales were down 21% versus prior year. The positive impact of acquisitions and the negative impact of currency roughly offset each other in the quarter. About two points of our organic growth came from price. Segment operating margin was 20.1% compared to 22.3% a year ago. The year-over-year decrease reflects lower sales volume and unfavorable mix partially offset by our cost reduction actions and no incentive compensation. Adjusted EPS of $2.47 was above our expectations primarily due to price and one-time items. Those one-time items included $22 million benefit from an adjustment to an earn-out accrual tied to achievement of the sellers revenue targets on our ClearPath acquisition. Adjusted effective tax rate for the fourth quarter was 14.9% below the prior year rate of 17% and about 4 points below our expectations for the quarter. I'll cover a year-over-year adjusted EPS bridge on a later Slide. Free cash flow of $367 million was $409 million lower than the prior year, primarily due to lower pretax income. One additional item not shown on the slide, we repurchased approximately 450,000 shares in the quarter at a cost of $118 million. On September 30th we had $1.3 billion remaining under our repurchase authorizations. Slide 9 provides the sales and margin performance overview for our three operating segments. Intelligent Devices margin of 20.6% decreased 70 basis points year-over-year due to lower sales volume and unfavorable mix. If you exclude the benefit from the ClearPath earn-out adjustment I mentioned earlier, segment margin in Intelligent Devices was 18.3%. Operationally this was about a point below our expectations as better than expected price cost was more than offset by lower volume and other costs including the impact of currency. Purely focusing on decremental conversion after adjusting for the earn-out, the segment had decrementals in the mid-30s year-over-year in the fourth quarter which reflects strong execution on cost out programs against a 20% organic sales decline. Software & Control margin of 22.3% decreased about 1,100 basis points year-over-year due to lower sales volume which was partially offset by cost reduction actions and no incentive compensation. Margins in this segment were below our expectations mainly due to lower shipments of Logix controllers. Revenue from the software portion of Software & Control held up nicely year-over-year. The 39% sales decline in Software & Control was driven by the hardware portion of the business against the historically high shipments in Q4 of the prior year. The typically high decrementals for Software & Control were mitigated somewhat by our cost out actions. Lifecycle Services margin of 17.4% increased 890 basis points year-over-year and was slightly above our expectations. The higher year-over-year segment margin lifecycle was driven by no incentive compensation, strong project execution and Sensia margin improvement. As Blake said, this business performed well throughout fiscal 2024 and the incrementals reflect that. The next Slide 10 provides the adjusted EPS walk from Q4 fiscal 2023 to Q4 fiscal 2024. Core performance was down $2.40 on a 21% organic sales decrease with unfavorable segment and product mix driving an outsized flow through. As Blake mentioned, cost reduction actions provided a $70 million benefit in the quarter exceeding our expectations and were a $0.50 tailwind. Incentive compensation was a $0.55 tailwind. This year-over-year delta reflects no bonus payout this year versus an above target payout last year. ClearPath earn-out benefit was $0.20. Year-over-year impact from currency and acquisitions were a $0.05 headwind each whereas tax was a $0.05 tailwind. Shares, interest and other items taken together were a tailwind of $0.03. I want to pause here to briefly discuss the sequential performance for Rockwell from Q3 to Q4. Although it's not in the slide, I think it's informative to discuss the progression, particularly when we later discuss the fiscal 2025 guide. Negative mix was the largest contributor to our decremental sequentially. While reported company wide sales were down $15 million, declines in products in both Intelligent Devices and Software & Control including Logix were more than double that amount. On the other hand, we saw growth in Lifecycle Services and our configure-to-order products which have less favorable margin profile. Further, as mentioned in our Q3 call, the Lifecycle Services segment had some high margin projects ship in Q3 that did not recur in Q4. This negative impact of both volume and mix drove high sequential decremental margins. Sequential currency and pension headwinds were offset by the earn-out adjustment. Moving on, Slide 11 provides key financial information for the full fiscal year 2024. Reported sales declined 9% to $8.3 billion including 1 point of growth coming from acquisitions. Currency was neutral. Organic sales were down 10%. Full year segment margin of 19.3% decreased 200 basis points from last year. The decrease was due to lower sales and again an unfavorable mix that skewed heavily toward products partially offset by no incentive compensation as well as the benefits from cost reduction actions and one-time items including the earn out adjustment. Adjusted EPS was down 20%. A detailed year-over-year adjusted EPS block can be found in the Appendix for your reference Free cash flow conversion was in line with the updated expectations we shared last quarter at about 60% in fiscal 2024. Free cash flow decreased $575 million from fiscal 2023. The decrease in free cash flow was driven by lower pretax income. Inventory and receivables were a source of cash in the fourth quarter as we reduced our balances in line with end demand. Return on Invested capital was 15.2% for fiscal year 2024 and 570 basis points than the prior year, primarily driven by lower income. For the year, we deployed about $1.2 billion of capital toward dividends and share repurchases and made inorganic investments of $750 million at the beginning of the fiscal year for ClearPath and Verve. Our capital structure and liquidity remained strong. Let's now move on to the next Slide 12 to discuss guidance for fiscal 2025. We expect reported sales in a range from negative 4% to positive 2% or slightly below $8.2 billion at the midpoint with no impact from currency or acquisitions. At the midpoint of our sales guidance, which is negative 1%, we expect both Intelligent Devices and Software & Control to be down low single digits and Lifecycle Services to be up low single digits year-over-year. We expect price to contribute about a point of growth for the year and price cost to be favorable. Segment margin is expected to be just under 19% at the midpoint, down about 40 basis points from fiscal year 2024. As Blake mentioned, we continue to expect $250 million in year-over-year benefit from our productivity and margin expansion projects in fiscal year 2025. We look forward to covering more on our productivity and operational excellence journey with you at our upcoming Investor Day in Anaheim. We expect the full year adjusted effective tax rate to be around 17%. This is about 2 percentage points higher than fiscal 2024, which benefited from some discrete events that will not recur. Our adjusted EPS guidance ranges $8.60 to $9.80 with $9.20 at the midpoint. We expect full year fiscal 2025 free cash flow conversion of about 100% of adjusted income. Blake mentioned earlier that we expect first quarter sales to be down high single digits sequentially. From a margin standpoint, we expect our Q1 margins to be in the low to mid-teens. Although we don't give quarterly guidance, we thought it would be helpful to give some additional color on how we expect the first quarter to shape up. Intelligent Devices sales are expected to be down low teens sequentially, reflecting soft product demand and a seasonal low in configure to order products. Against this tough volume backdrop, Intelligent Devices will have compensation headwinds and the non-recurrence of the earn out adjustment. As a result, we expect Intelligent Devices segment margins to be in the low teens. Software & Control margin is expected to be in the low 20s on flat sequential sales growth. Lifecycle Services typically has a seasonal low in the first quarter and sales are expected to be down low single digits sequentially. We expect compensation headwinds and the volume impact to drive segment margins in Lifecycle to the low teens. As Blake mentioned, we expect gradual sequential improvement in our sales through the rest of the year. We also expect a corresponding increase in our segment margins. Let's turn to Slide 13 for our adjusted EPS walk for the full year. Our core is expected to be negative $0.20 for the year with more normalized conversion on the 1% sales decline at the midpoint of our guide. Importantly, included in our core is R&D spending, the lifeblood of our future growth, which we continue to target at about 6% of sales. Non-R&D investments planned for fiscal 2025 are expected to be a $0.25 headwind. These investments are structural in nature to position us for future growth. They include expansion of our CUBIC footprint to continue to capture the ongoing data center tailwind, especially in the U.S., our new Rockwell facility in India and IT investments that will provide differentiated performance both inside and outside of Rockwell's walls. Continuing on to the waterfall, our productivity actions are expected to increase EPS by $1.85 reflecting the targeted $250 million cost out savings. Nearly offsetting those savings are compensation and inflation headwinds next year which are expected to decrease EPS by $1.40 at the midpoint of guide. Adjustments to the ClearPath earn-out in Q2 and Q4 of fiscal 2024 result in a $0.25 headwind in fiscal 2025. We expect tax to be a $0.20 headwind. Shares, interest expense and other items taken together are expected to be a $0.06 headwind. To break down the guide another way, our adjusted EPs in fiscal 2024 included about $0.25 of benefit from earn-out adjustments that added about 35 basis points to our segment margins for the year. Our guide of fiscal 2025 segment margins of just under 19% reflects essentially flat segment margins on this adjusted basis year-over-year. The headwinds of a 1% sales decline at the midpoint of our guide, as well as compensation and investment headwinds are expected to be offset at the segment level by our cost out programs. A few additional Comments on Fiscal 2025 guidance for your models, corporate and other expenses is expected to be around $130 million. Net interest expense for fiscal 2025 is expected to be about $145 million. We're assuming average diluted shares outstanding of 113.1 million shares and we are targeting $300 million of share repurchases during the year. With that, I'll turn it back over to Blake for some closing remarks before we start Q&A.
Blake Moret: Thanks, Christian. Despite project delays tied to policy uncertainty and the U.S. election, we won new capacity projects in the U.S. across a variety of verticals in the quarter and throughout the year. We saw a sequential ramp in these wins throughout the year with Q4 being the best quarter. Projects came from a diverse set of end markets including renewable energy, tire, oil and gas, EV and semiconductor. The funnel of these mega projects is robust and we expect an increase in these orders during fiscal year 2025. Fiscal year 2025 will be a particularly strong year for new product introductions, including both hardware and software. We look forward to showcasing this innovation for customers during Automation Fair in two weeks and for you at our Investor Day during the show. Acquisitions made a year ago are expected to contribute about a point of organic growth in fiscal year 2025. We do not anticipate major new acquisitions in the year. We have an unmatched portfolio that combines traditional sources of value with new ways to win. As we've said, we're now concentrating on integrating what we built and bought to drive simplification for our customers, expanded margins for investors, and focus for our employees. Our people remain the heart of our success and I thank them for their dedication and resilience. My leadership team and I look forward to working shoulder to shoulder with our employees and partners around the world during the coming year as we tune our operations add new innovation to our portfolio and win at customers. Aijana will now begin the Q&A session.
Aijana Zellner: Thanks, Blake. [Operator Instructions] Julianne, let's take our first question.
Operator: [Operator Instructions] Our first question comes from Scott Davis from Melius Research. Please go ahead. Your line is open.
Scott Davis: Hey, good morning, Blake and Christian, Aijana.
Blake Moret: Hey, good morning.
Scott Davis: Blake, you implied that maybe the election caused some noise. Do you see a restock happening imminently is that something that seems possible?
Blake Moret: We're really not counting -- Scott, we're really not counting on anything at the beginning of the year, particularly in Q1. As we talked about before, we're nearing the end of the drain of excess stock at distributors and machine builders. Some machine builders and distributors are already back to that equilibrium point, but we're just not counting on some rapid acceleration for them to put additional inventory back on their shelf.
Scott Davis: And just to follow up on that theme, the last time we had tariffs come in, what were the customer responses? Were they more likely to pre-buy and kind of buildup in particular distributors, build up inventory? Were they more -- was there a change in behaviors around that? And certainly there may be some concerns around tariffs, so I'm just kind of curious to see what you guys saw last time and how that may inform this time.
Blake Moret: We really didn't see customer behavior change a lot with the tariffs, I'll tell you that. That's an area that I'm proud of the agility that we showed as the tariffs came through to get ahead of that to ensure a positive price cost as things were coming in. And so I'm very confident should we see additional tariffs, we'll be able to reflect that in our pricing to customers. But unlike what occasionally will happen with regular price increases, where you see a little bit of purchases brought forward, we really didn't see that with respect to the tariffs, obviously, there's a lot of expectation that continues as investment increases in the U.S. to complement labor with technology. And of course, that's right down our sweet spot.
Scott Davis: Yes, makes sense. Okay, thank you. Best of luck this year, guys. We'll see you in a few weeks.
Blake Moret: Yes, thanks, Scott.
Operator: Our next question comes from Andy Kaplowitz from Citigroup. Please go ahead. Your line is open.
Andy Kaplowitz: Hey, good morning, everyone.
Blake Moret: Hey, Andy.
Andy Kaplowitz: Blake, maybe just trying to flesh out 2025 a little bit more. When you look at 2025, do you think we're any closer to a bottom in discrete? I know you mentioned some incremental CapEx delays, but is there any kind of visibility that's helping you? Let's call it talk about relative stability in hybrid and process markets in 2025 given the forecast of down low, single digits and flat respectively.
Blake Moret: Yes. So in let's start with Hybrid, Food & Beverage, we're still not seeing a lot of activity of people pulling the trigger on greenfield investment, although we're working with them and the associated EPCs on planning for expansion projects. And we're continuing to get business through digital services modernizations and things like that with their brownfield footprint. In Life Sciences, we do think that we may be coming off a little bit of a bottom with respect to Life Sciences. And we've talked about the optimism around GLP-1 capacity that we're engaged with and that we expect to continue in that area. In discrete the biggest component of discrete is Automotive. We talked about a minute ago the win at Ford. So customers are still investing, but it's not picked up to a point where we can sound the all clear let's say. We do expect the SAR count to increase in fiscal 2025. EV as a percentage of vehicles sold in the U.S. is expected to go up a little above 10%. It's obviously at a much slower pace than we all envisioned a couple of years ago. And then another element of discrete is e-Commerce and Warehouse Automation. That's also where our data center activity is. That was a bright spot this year for us and we expect that to continue. There's a lot of activity there, not only among the hyperscalers, but also among the other retailers who are looking to modernize and make their operations more efficient. Semiconductor a little bit more mixed. Still expect that to recover. We talked about some activity there, but we're not expecting that to be a big contributor in the year.
Andy Kaplowitz: It's helpful. And then Blake, just kind of fleshing out the 2025 guidance or maybe this for Christian, orders down, most of them in Q4. You talked about flat in Q1. I guess, that puts you probably in the sevens in terms of run rate and sales. So maybe how much lift do you get in orders if destocking were to just end and do you need orders to start picking up in Q2 to sort of make that midpoint of your guide?
Blake Moret: We're really looking at very gradual sequential growth in orders after Q1. That's what we're expecting triangulating from a variety of points, looking at the different industries. We also look at life cycle with its higher exposure to process, which continues to invest and the relevance of backlog that they have in that segment, contributing positive growth in the year. So we feel comfortable with that. And then with the order progression that I just described being the biggest impact, biggest influence on Software & Control and Intelligent Devices through the year.
Andy Kaplowitz: I appreciate it. Look forward to seeing in a couple weeks.
Blake Moret: Yes, see you soon.
Operator: Our next question comes from Andrew Obin from Bank of America. Please go ahead. Your line is open.
Andrew Obin: Yes, good morning.
Blake Moret: Hey Andrew.
Andrew Obin: Just, I'm going to go back to sort of trying to figure out where things bottom. So as you look at your funnel and then obviously funnel becomes orders and then orders become shipments. So just trying to understand is the sort of this funnel converting into orders is just budgeting at year end. And so we effectively need budgets to be set for calendar 2025. And that's what we're going to see orders. And then once you get an order, what do you think, because not just for you, I know that you guys can probably ship your stuff within one to two weeks, but as you put the product together, what's the right way of thinking from order converting into shipment that you book? Is it three months? Is it six months? If you could just outline this timeline if and when things actually start inflecting? Thank you.
Blake Moret: Sure. So, Andrew, let me describe a little bit of the overall process, and if I missed something, then ask me to touch that up. The funnel is tracked probably a little bit differently for pure products that go into MRO versus the big greenfield projects that we look at that we described last year in terms of the typical calendarization of like a big EV project, for instance. And of course, we have both in our business. We track intensely the project work, in some cases a year or two before orders are left there with CapEx across the different industries. And that's where our Lighthouse project group has really shown this year. And as I said, we expect even more activity in the coming year. That funnel looks good and certainly supports the guide with respect to Lifecycle Services. We have a good funnel in ClearPath, for instance, cubic and so on. But between the time that something comes out of the funnel and is won and ordered and shipped that could be months or in some cases a year or more depending on the amount of engineering in that project. When it comes to the products in that funnel, when those come out as an order to us, as you said, we're back to turning those around at a very high rate. The majority of those get serviced within a period of days off our distributor shelf. But even when we have to build it, we can rely on the safety stock that we built up, built back up during the year or building in the plants that's converting at a very high rate. So, I think to your question, from time to get an order to the shipment, what's the overall time? It literally is a period of weeks for those products, a little bit longer for the configure-to-order products that we have in intelligent devices. And again you get into the months. I think average lead time in Lifecycle Services is probably about five or six months. But it certainly varies between digital services and fully engineered systems. So hopefully that touches on some of what you were looking for.
Andrew Obin: Yes, no, absolutely. Thanks so much. And then just and I apologize if you have sort of talked about it but, you were sort of machine builders in Europe was a pinch point. I think one of your competitors sort of has come out and said that that is being pushed out three to six months. What is happening with machine builders in Europe, just a little bit more granular view there? Thank you.
Blake Moret: Yes, well let me, let me start with a subjective comment and that is I'm seeing a lot of machine builders from Europe in our facility now and we'll see a lot of them at Automation Fair in a couple of weeks. The PACK EXPO show down in Chicago, was close enough to where we're seeing a lot of those machine builders come up and talk to us about their plans going forward, super encouraging. These are big names and they're already decent sized customers, but with lots of opportunities to grow share of their spend. Given that a lot of their end users are investing in the U.S. and they want to be working with the U.S. leader, that's fact. We're definitely hearing that directly from those machine builders and you'll hear from some more of them at Automation Fair as well. In fiscal year 2025, coming off of a year where the overstock condition at European machine builders contributed to big declines, we expect Europe to be decent performing after the Americas. So Americas will be the best performing region in the world in 2025, followed by Europe, followed by Asia, as those overstock conditions completely dissipate and they get back to normal order patterns.
Andrew Obin: Thanks so much, I really appreciate it.
Blake Moret: Yes, thanks Andrew.
Operator: Our next question comes from Nigel Coe from Wolfe Research. Please go ahead. Your line is open.
Nigel Coe: Oh, thanks. Good morning everyone. Hey, good morning. Thanks for the 1Q color and all the additional guidance points. So Christian, I just want to make sure that we've got message on 1Q. We're sort of getting, just to map it back to the full year guide, down a 6% to 7% type organic year-over-year for 1Q. And it's just based on the, I don't know, based on the margin it seems like maybe a bit more pressure perhaps on EPS, so maybe down to like $1.80 or so. Would that be sort of consistent with your thinking?
Christian Rothe: Yes. So just to -- hi Nigel. To frame it a little bit when we talk about the sequential side of it for kind of the overall organization we have, if we bridge from Q4 into Q1, we've got headwinds, of course the earn out adjustment is not going to recur. We've got headwinds from the perspective of the compensation inflationary side and then on top of that, of course, there's the volume reduction. All of which are going to contribute to going to contribute to some real decrementals as we go into Q1. So you mentioned a number on the EPS. We're not going to actually get into real detail on exactly what that number is, but it will be significantly below $2.
Nigel Coe: Okay, that's helpful. And then just based on the normal, I mean normal quote unquote normal sequential through the year, it seems like 2Q would be down in the similar level year-over-year and then you start getting the real benefit from the easy comps in the back half of the year. But I do struggle to understand what gets us to plus 2% given the start of the year. So just to be curious what sort of assumptions you're making at that plus two and maybe just frame it in terms of what you'd expect to see in the order numbers.
Blake Moret: Yes, so that would. So, the plus 2% would be a little bit better sequential improvement, either a little bit more pronounced ramp up or a little bit earlier development of the recovery in the end markets that would flip intelligent devices and Software & Control products to positive shipments for the year. So, if you get a little bit higher growth than expected earlier in the year and we continue to build sequentially off of that, that's where you would see the pickup, the lifecycle services, the longer lead time items. Again, given the exposure to process markets and the amount in backlog, I don't see that changing as dramatically. It's really going to be the products that will be the swing votes in this.
Nigel Coe: Okay, thanks Blake. See you in two weeks.
Blake Moret: Yes, see you soon.
Operator: Our next question comes from Chris Snyder from Morgan Stanley. Please go ahead. Your line is open.
Chris Snyder: Thank you. I wanted to talk about America's market and order trends. So I think you guys said that those were up low single digits sequentially or just up sequentially, so any color on maybe the magnitude of increase? And when you guys talk about orders flat sequentially into Q1 on seasonality, is the expectation that Americas continues to get better and then just more broadly on America, anything you could comment around the competitive environment and specifically how you think the company is doing on share of new wins and new awards? Thank you.
Blake Moret: Sure. Yes, as we said, Americas was the best performing region in 2024 and we expect in 2025 it continued to be the best performing region. We obviously have by far the largest share in the Americas. We've got the best channel; we've got the largest installed base and the deepest relationship. So it's pretty good hand in that case. And we're seeing, as I mentioned before, modest share gains. Obviously our competitors are all interested in the U.S. and expanding that footprint. But we're attacking it with the same sense of urgency and recognizing that we have to take the battle to machine builders and engineering firms around the world as well as continuing to provide, unmatched, very differentiated support for the users here as well, releasing new products, it's the whole equations and it's all hands on deck for that. In terms of the sequentials, I did mention that we saw sequential improvement in orders in Q4 in North America. And we haven't characterized just where we see the sequentials, through the year by region and by products or solutions. But again, we expect Americas to be the best. And I did say that we expect in the so called mega projects that we expect more orders to come from that activity in 2025 than we saw in 2024. And that will become a more and more significant number, as we finally get past the overstock effects of products in the channel.
Chris Snyder: I appreciate that. And then may be just following up on that American manufacturing CapEx investment, which is obviously tilting much more towards electronic components like chips and even bigger electrical equipment, maybe things like transformers. So as the CapEx shifts into different end markets, is there anything that investors should be aware of on just the content? Is the content on those products not just for you, but just for the automation industry? Maybe lower than more traditional verticals like, like Food & Beverage and then just the fact that some of these verticals are a bit new to the United States, how is Rockwell positioned to compete on those? Thank you.
Blake Moret: Yes, Chris, great question. The opportunities we're tracking and literally there are thousands of projects that we're looking at and then getting laser focused on the, the top of the funnel where we have the clearest line of sight and they're getting ready to make decisions. If you look at the vertical industries represented by that funnel, it split roughly evenly between the verticals that we don't have as much penetration in that we haven't talked as much about historically. Things like semiconductor balanced by industries that we have great share in, we've talked about forever. We have, extremely high readiness to serve, like Food & Beverage, like Automotive, like Life Sciences. So we went through and characterized that entire basket of projects and it split roughly equal. And each side of that represents hundreds of billions of dollars of CapEx, and very substantial amounts of opportunity for us. And as I've said before, I think we're still in the reasonably early innings of those being awarded. So you're seeing awards for things like data centers for projects now. And while we have some exposure in data centers, it's obviously not the bulk of our business people are placing orders for very long lead time items. I think transformers in some cases are still out two years and so on and we'll see some content from that. But I think the biggest amount of those projects is still to come over, over the next few years.
Chris Snyder: Thank you.
Blake Moret: Yes, thanks, Chris.
Operator: Our next question comes from Julian Mitchell from Barclays. Please go ahead. Your line is open.
Julian Mitchell: Hi, good morning. May be one question for you, Blake just thinking back to the Investor Day a year ago. So you talked about that sort of mid-to-high single digit organic sales CAGR entitlement. When we take 2024 in the guide for 2025, you're running at a sort of negative mid-single digit CAGR. So just trying to understand for you to sort of get the nose up and move back towards the mid to high positive growth, how much more do you need to put in in terms of reinvestment? Because I understand short-term you're sort of cutting spending and headcount because of the near term top line. But are you confident you can get back to that mid-single digit plus growth trend without sort of heavier investment taking place in the next couple of years?
Blake Moret: Yes, thanks for the question, Julian. So in terms of the investment, we've taken a lot of care even through the last tough year to preserve spending in areas like customer facing resources as well as R&D for new product introductions and you'll see the continuing increased pace of that at Automation Fair in a couple of weeks, across our portfolio, Software & Control, Intelligent Devices, New Digital Services. I'm very proud of the way that we're getting these new products to market. And in fact in Software & Control, R&D as a percentage of sales is actually double digits. So we continue to preserve that going forward. I think that as we look at getting back to those growth rates, let me also say that after we get past the reset, the very high growth in 2023 17%, top line growth, obviously the decline last year and then the guide for this year, we still hold, and we'll talk more about this in a couple weeks, but we still hold to that framework both in terms of top line as well as margin expectations. And so, while we've made some cuts that are to align the cost structure of the business with current business conditions and incoming orders, some of what we're doing is structural for that long-term as well. We talked about the structural capacity investments that we're making. I just mentioned the continued investment in R&D. So I don't see a sharp snap back because we've been pretty surgical about the cuts that we've made to make sure that we're not cutting the lifeline to future acceleration back to the growth that we talked about at Investor Day last year.
Julian Mitchell: That's very helpful. Thanks, Blake. And maybe just a shorter term second question for the 2025 guidance. So just on the segment margin point, it's 19% for the year, I just wanted to check, was that the low to mid-teens margin comment for Q1? Was that a segment margin comment? And so you sort of and off that Q1 margin starting point, do we assume you sort of take the margin up 200 or 300 basis points sequentially each quarter to get to 19% for the year? Is that the right framework? And maybe in that context, Christian, just to clarify, I know you don't want to talk quarterly earnings, but have a different way maybe first half, let's say, I think first half is often 45% of EPS in recent years. Is it maybe sort of 40% or so this year?
Christian Rothe: Yes, Julian, thanks for the question. So as we think about that sequential as we go through the year, it should continue to improve. That was segment margins that we talked about in the first quarter. So yes, that low to mid-teens number that we, that I discussed was about the segment margin side. And yes, we do expect that that should ramp as the year goes on. In order to get to that 19%. I'm not really going to talk too much about first half, second half, but I do understand the math that you're doing there.
Julian Mitchell: Great, thank you.
Christian Rothe: Thank you.
Operator: Our next question comes from Joe O'Dea from Wells Fargo. Please go ahead. Your line is open.
Joseph O'Dea: Hi, good morning. Thanks for taking my questions. Hi. I wanted to start on intelligent devices and the outlook for the first quarter. We've actually seen revenue on a quarterly trend in 2024 in a pretty stable range and it looks like what you're outlining is that sequentially from 4Q to 1Q would be down like $120 million. So much larger than what we've seen over the course of 2024 swings. Can you just kind of elaborate on what you're seeing there, destock end market regions, just to understand the drivers of that, step down a little more?
Christian Rothe: Yes, so that step down, if you think about the fact that as we were going through the sequentials in 2024, each quarter there was some shipment of backlog that was happening. So the shipments were outstripping the incoming order rate during that period of time and on top of that, we do have some seasonal lows that are happening in the first quarter. So that's, that's a headwind for us in the first quarter and the configured order business is going to be off somewhat well in the first quarter.
Joseph O'Dea: Got it. That's helpful. And then just in terms of any color around kind of end markets versus channel effects, when we think about inventory management over the course of 2024 in the channel, I think when we look at the combination of intelligent devices and Software & Control revenue down roughly $1 billion year-over-year. Just high level and any context on kind of end market versus destock contributions to that? Can we think about it as roughly a third of it could have been channel management versus end market trends? Anything there would be helpful.
Blake Moret: Yes, I don't know that I can quantify the relative split because they're interrelated because the velocity of your destock is dependent on end user demand pulling it out of the channel. But the first part of last year of 2024, the effects of just that overstock were more pronounced. The underlying end user to market, end user demand was actually positive, we think. And then towards the end of the year, as we talked about in the last couple of calls, some weakening spread in those end demands and we're at a point where I think it's really most informative to talk about the end user demand. Again, they're linked. There's a little bit of stock left in the channel but it goes as end user demand goes. And so that's really going to be the biggest item as we look at the development in the year. The biggest impact of that will be on the product centric vertical. So think about Automotive where most of our business is done through products going through distributors and some machine builders. Food & Beverage, where packaging is actually, a very large percentage of the total business going into Food & Beverage and that's a product type go to market in those cases. So that's where you see the most of it as opposed to for instance in Oil & Gas or Life Sciences where you have a higher percentage that comes from Digital Services & Engineered Solutions.
Joseph O'Dea: I appreciate the color. Thank you.
Blake Moret: Yes, thanks Joe.
Aijana Zellner: Julianne, we'll take one more question.
Operator: Certainly our last question today will come from Noah Kaye from Oppenheimer. Please go ahead. Your line is open.
Noah Kaye: Yes, thanks. Just a clarification on the guide. You called out some of the non-R&D investments but the nature of those sounded more like facility expansions. So just give us a bit more color on these investments and why they're OpEx versus CapEx?
Blake Moret: Yes, it's a mix and in some of these there's a mix of OpEx and CapEx as you said. Some of it is facilities expanding cubic to be able to manage the really strong growth in the data center portion of your business. We do have a new facility in India that's providing some additional resilience in the Asian region for us and then digital infrastructure within IT, as we make sure that for internal productivity as well as external productivity with our partners we've got a business system and digital services that is world-class. So those are some of the investments that we're making. We talked about them on the waterfall because of the OpEx portion but there's a little bit of CapEx for those as well.
Noah Kaye: That's helpful. Thanks Blake. See you in a couple weeks.
Blake Moret: Yes. Thank you.
Operator: I will now turn the call back over to Ms. Zellner for closing remarks.
Aijana Zellner: Thank you for joining us today. That concludes today's conference call.
Operator: At this time you may disconnect. Thank you.